Operator: Welcome to the Lannett Company Fiscal 2015 Third Quarter Conference Call. My name is Adrian, and I'll be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I'll turn the call now over to Robert Jaffe, Investor [ph] Relations for Lannett. Please go ahead.
Robert Jaffe: Thanks, Adrian. Good afternoon, everyone, and thank you for joining us today to discuss Lannett Company's Fiscal 2015 Third Quarter Financial Results. On the call today are Arthur Bedrosian, Chief Executive Officer; and Marty Galvan, Chief Financial Officer. This call is being broadcast live at www.lannett.com. A playback will be available for 3 months on Lannett's website. I would like to make the cautionary statement and remind everyone that all of the information discussed on today's call is covered under the Safe Harbor provisions of the Litigation Reform Act. The company's discussion will include forward-looking information, reflecting management's current forecast of certain aspects of the company's future, and actual results could differ materially from those stated or implied. This afternoon, Arthur will provide a brief overview, and Marty will discuss the financial results for the quarter in more detail, followed by Arthur's concluding remarks. We will then open the call for questions. With that said, I'll now turn the call over to Arthur Bedrosian. Arthur?
Arthur P. Bedrosian: Thanks, Robert, and good afternoon, everyone. I hope you enjoyed our latest theme song, Baby Hold On To Me by Eddie Money. Turning to our financial results, we reported a solid quarter, driven by strong sales across multiple product categories and a significant increase in gross margin compared with last year. For the fiscal 2015 third quarter, net sales were $99 million with gross margin of 76% and net income was $36 million, equal to $0.97 per diluted share. We have now reported the 13th consecutive quarter in which net sales and adjusted earnings per share exceeded the comparable prior year period. Our outlook for fiscal 2015 remains strong. And with the excellent performance in the third quarter and outlook for a solid fourth quarter, we have raised our full year guidance. Marty will discuss this in more detail shortly. With that brief overview, I'd like now to turn the call over to Marty to review the financials. Then, I will provide an update, and we'll open the call to questions. Marty?
Martin P. Galvan: Thank you, Arthur, and good afternoon, everyone. As Arthur mentioned, we reported a solid fiscal 2015 third quarter, with net sales increasing 24% to $99.4 million from $80.0 million in last year's third quarter. Net sales for our largest product category, thyroid deficiency, grew to $36.7 million or 37% of our total net sales. Our 2 other largest categories, gallstone and cardiovascular, had net sales of $20.5 million and $8.5 million, respectively, representing 21% and 9% of our total sales, respectively. As to net sales of our remaining categories, migraine was $6.7 million; glaucoma was $5.7 million; pain was $4.3 million; antibiotic was $3.0 million; gout was $1.5 million; obesity was $1.1 million; and other represented $11.4 million. Gross profit rose 35% to $75.6 million, or 76% of net sales from $56.1 million or 70% of net sales. Research and development expenses decreased to $9.2 million compared with $10.6 million in the same quarter of the prior year. Selling, general and administrative expenses increased to $12.2 million compared with $9.6 million. SG&A expenses for the fiscal 2015 third quarter included acquisition-related expenses of $1.1 million. Operating income grew 51% to $54.3 million from $36.0 million in the third quarter of last year. The effective tax rate was 33% compared to 37% for last year's third quarter. The lower effective tax rate was due primarily to changes in the Philadelphia local tax laws as well as higher federal domestic manufacturing inductions recorded in fiscal 2015, related to a shift in our product mix. In addition, Congress recently extended the R&D tax credit law, which also contributed to the lower rate. Net income attributable to Lannett Company increased 58% to $36.2 million or $0.97 per diluted share from $23.0 million or $0.63 per diluted share for the third quarter of fiscal 2014. Turning to our results for the first 9 months of fiscal 2015 compared with the same period of the prior year. Net sales increased 59% to $307.6 million from $193.2 million. Continuing with the remainder of the income statement and for completeness and comparative purposes, I'll provide both GAAP and adjusted amounts for last year's 9-month results. As you may recall, in last year's first quarter, we issued 1.5 million shares of our common stock in connection with the signing of a contract extension with Jerome Stevens Pharmaceuticals. Accordingly, cost of sales included a nonrecurring pretax charge of $20.1 million related to this contract extension. Gross profit was $234.4 million or 76% of net sales. This compares with gross profit last year of $98.5 million or 51% of net sales. Gross profit, excluding the JSP contract renewal charge, was $118.6 million or 61% of net sales. Research and development expenses increased to $23.4 million compared with $21.1 million in the same period of the prior year. SG&A expenses increased to $35.6 million compared with $26.6 million. SG&A expenses for the first 9 months of fiscal 2015 included acquisition-related expenses of $3.2 million. Operating income was $175.5 million compared with $50.7 million. Excluding the JSP contract renewal charge, operating income was $70.8 million in the first 9 months of last year. Net income attributable to Lannett Company was $116.0 million or $3.13 per diluted share compared with $33.6 million or $0.97 per diluted share. Adjusted net income, which excludes the contract renewal charge, was $46.2 million or $1.34 per diluted share for the first 9 months of fiscal 2014. Our balance sheet at March 31, 2015, remained strong with cash, cash equivalents and investment securities totaling $225.4 million. After quarter end, we completed an amendment to our revolving credit facility, which increases our borrowing capacity from $50 million to $120 million with an accordion feature for an additional $30 million. Turning now to our guidance. Given our strong third quarter performance, we have raised our guidance for the full year of fiscal 2015 as follows: Net sales in the range of $403 million to $408 million, up from previous guidance of $395 million to $405 million; gross margin as a percentage of net sales of approximately 75% to 76%, up from 74% to 75%; R&D expense in the range of $30 million to $31 million, up from previous guidance of $29 million to $31 million; SG&A expense ranging from $51 million to $52 million, up from $47 million to $49 million; the full year effective tax rate to be in the range of 34% to 35%, unchanged from previous guidance; and capital expenditures in fiscal 2015 in the range of $30 million to $35 million, which includes $4 million to continue the partial fit-out of 2 buildings recently acquired by the company, revised from previous guidance of $40 million to $50 million. With respect to our outlook for next fiscal year, we intend to discuss our guidance for fiscal 2016 in more detail on our next conference call. For now, we'll provide some preliminary thoughts. We anticipate the percentage increase in revenue to be in the low single-digits compared with fiscal 2015 with modest volume growth in sales of our existing products. We are not anticipating any significant price increases in fiscal 2016. We expect fiscal 2016 full year gross margin as a percentage of net sales to be in the low 70s. While we have a deep pipeline, including a large number of product applications currently pending at the FDA, our expectations do not include sales from these products nor does our outlook include the benefit of any potential acquisitions or strategic alliances. With that, I will now turn the call back over to Arthur.
Arthur P. Bedrosian: Thank you, Marty. For the quarter, we recorded strong sales across a number of product categories. As expected, Digoxin -- excuse me, including gallstone, glaucoma, migraine and thyroid deficiency. As expected, Digoxin sales declined compared with sales in the second quarter due to competition. The guidance Marty just provided anticipates sales of Digoxin to be similar in the fourth quarter compared with the third quarter. As we said, we completed an amendment to our revolving credit facility. The increased credit facility together with our strong balance sheet provides additional financial resources and flexibility to fund our acquisition and our organic growth strategy. On the business development and M&A fronts, we continue to evaluate potential acquisitions and seek out other opportunities for both products and companies. Our team continues to look at opportunities that are a strategic fit and accretive to our business. We are particularly interested in opportunities that globalize our business further vertically integrating our operations or enhance shareholder value through an acquisition in a tax favorable jurisdiction. We continue to increase our pipeline. We currently have 20 ANDAs, including 5 with Paragraph IV certification pending at the FDA. Of our additional 42 products in various stages of development, we expect to submit several additional product applications in the near future. And our plans call for continued significant investments in R&D. I would like to address another matter that Lannett fortunately has very little experience in. During the third quarter, our Cody laboratory subsidiary voluntarily initiated a limited recall of its C-Topical product due to a mislabeling issue. A small number of bottles were labeled with 10 milliliters, when they actually contained 4 milliliters. We believe this is a minor issue as use of the product is not considered to present a health risk and product quality was not affected. We have placed an order for equipment designed to prevent this from happening, and in the interim, have instituted additional controls. We take product safety very seriously and believe there was no danger to patients. I want to thank our entire staff for doing an outstanding job and our shareholders and board members who have continued to support our efforts. We remain very positive about Lannett's future. Marty and I would now like to address any questions you may have. Operator, Adrian?
Operator: [Operator Instructions] And our first question comes from Matt Hewitt from Craig-Hallum Capital.
Matthew Gregory Hewitt: It sounds like, you kind of addressed some of the questions I had as far as the pain management. So the C-Topical recall, can you quantify what that impact was in the quarter? I mean, it was pretty weak relative to history - their recent history. Was that a couple of million dollar hit or even greater than that?
Martin P. Galvan: Yes, Matt. It was $2.4 million.
Matthew Gregory Hewitt: Okay. That's helpful. Another question. You've laid out some preliminary guidance, I guess, you should call it for FY '16. What can you do here over the short term or near term that would enable you to grow at a faster rate for the full year? Obviously, if you get an approval, that would help. But is there anything in it -- it doesn't sound like there's pricing, but is there anything else that could occur in the next couple of quarters that would enable much faster growth during the year, barring some acquisition?
Arthur P. Bedrosian: No. I'm afraid -- I don't know what we could do fast in our industry. Everything -- we are always waiting on some government bureaucrat to approve. So I don't think there's anything that we have in our works that we would say would enhance the growth. Our belief is that there was some feeling that 2016 would be a down year, and all we're trying to do is point out that we don't expect it to be a down year. But we also are not sitting here saying we're going to have outstanding growth either.
Matthew Gregory Hewitt: Okay. One more for me, then I'll hop back in the queue. A few of your peers have recently been dealing with some pricing issues. A large competitor came back and offered greater rebates in several products with one of the channel partners. I'm curious if you've seen anything on pricing, I don't -- from my research, you guys were impacted by this. But have you seen anything where the pricing story over the last couple of years, price going up, maybe starting to revert back and we're starting to see pricing come down?
Arthur P. Bedrosian: Well, I wouldn't say that, that's really a change in the business model. While there's been increases, most generics, if you look at the universe of generic drugs, they are all on a decline. You had a handful of products and when a handful, I certainly don't mean that they're not 10,000 bottles, excuse me, 10,000 drugs out of maybe 100,000 drugs that have price increases. But the number of products that have increases are far smaller than the number of generics that are out there that are reduced in price year-after-year. So there's always the competition issue we deal with. When someone wants to get market share, they use a lower price to gain that market share. Sometimes it works, sometimes it just brings the price down, in general. So I'm not going to say, we're immune from it, but it's the nature of our business and something we've been dealing with for 73 years. I'm the one who's predicted that by December 2016, I tended to believe that there wasn't going to be a decline in these opportunities to raise prices. So I'm not surprised that some of that behavior is starting to come back into the markets.
Operator: And your next question comes from John Newman from Canaccord.
John L. Newman: A question I had is, actually, in regard to Digoxin. On the last call, you talked about some potential concerns regarding one of the API suppliers. Then -- but you also pointed out that you believe that you had adequate API supply. So I just wondered if there's been any changes on that.
Arthur P. Bedrosian: No. We caution people about things that we learn. We've not had any issues with it ourselves and we don't believe it's going to be a factor in the market, now that we have more time to determine how many of our competitors might be impacted by that. It certainly doesn't appear to be less favorable in terms of any shortages or difficulties to get the product things like that, that might give opportunities to those that are in the product. So I would say the Digoxin guidance we've given for this year, conservative as it is, it's probably spot on.
John L. Newman: Okay. And then in terms of just the -- looking forward into 2016 -- into your fiscal year 2016, in terms of potential approvals from the FDA. I know that historically, you've said that it's been very difficult to try to get a sense as to when approvals might come. But would you say at least that the pattern that you've been seeing from the agency has been more consistent? If it's just, things are going to take a little bit longer, has that been more consistent in terms of the timing? Or is it still a little bit more variable?
Arthur P. Bedrosian: Well, I'm afraid it's still more variable. I try to be the optimist here, and that's my nature. But it's very hard to be optimistic with the agency, because there's really nothing to guide us. We've had occasions in the past where -- we knew once they were looking at the labeling, you might presume that was the final stage of a review. We have instances today where they could be looking at the labeling and not even looking at the CMC section of an ANDA. So there's really nothing to guide us. We are trying to read the tea leaves at the agency to try to get a handle on, how they're going to be evaluating both the pre-GDUFA filed ANDAs, the ones that are the backlog as well as the ones that are being filed under GDUFA. And there's still no consistent consensus among the industry as to what the time frames will be for any approvals. So I'm afraid, I've given up trying to predict anything I'm going to get approved, because I've been wrong more than I've been right.
Operator: And your next question comes from Scott Henry from Roth Capital.
Scott Robert Henry: Just a couple questions. I'll start with the 2015 numbers. Looking at your guidance and fiscal Q4, it looks like SG&A should take a notable uptick. Could you just give me a sense of what's driving that uptick for Q4?
Martin P. Galvan: Yes, Scott. The increase is primarily driven by what we provided for M&A, merger and acquisition-related expenses. This is basically consulting and legal expense that's the single largest driver of what's taking that up in fourth quarter.
Scott Robert Henry: Okay. That's helpful. And then, when I look at the numbers for cardiovascular and gallstone, which have almost reversed from a year ago, do you think -- are those kind of good -- I mean, I guess, we should expect cardiovascular to continue to decline, but how do you feel about that number in the quarter for gallstone? Is that a reasonable proxy, at least in the immediate near-term?
Martin P. Galvan: Yes. For gallstone, our perspective is that we had a very strong third quarter in gallstone. And had one particular customer who bought more than we were expecting but -- okay, and also, with this particular product and this is Ursodiol, we have discussed it before. There is an active ingredient issue in the industry. But all that being said, we had strong sales. A particular customer, in the third quarter, we think it might've been related to the API supply issue. But you see right now more as a one-off additional sale in our third quarter. So we have our fourth quarter outlook more similar now to our -- what we saw historically as our second quarter. So right now, we haven't made our fourth quarter look like the third quarter from a projections perspective.
Scott Robert Henry: Okay, that's helpful. And then on the pain management even if I add in $2.4 million, still kind of flattish to down. When would you expect to see that kind of segment start to produce more meaningful growth?
Arthur P. Bedrosian: We hope in the third -- in fourth -- excuse me, the fourth quarter and into next year. The recall did set us back a little bit and at the moment, we have been backordering the item as well. So hopefully, we'll recover from that in the fourth quarter. But nevertheless, we still haven't made a decision on putting the other 10 sales people out there, but we did hire a product manager from the brand world, and we're starting to make some in-roads into the success of that sales effort that before was, let's say, lackluster. And again, as you know, we used a contract sales organization to launch the detail people. So we're still enthusiastic about this, but this is new ground for Lannett. We're not a brand company, as you know, and it's a learning experience. But we do see an increase in revenue coming from this product and we do see a success in this product's potential outlook for us. So while there's been a little set back with regards to the recall and it was a minor one, nevertheless it was a costly one. We do think that the product's upward trend is still there.
Scott Robert Henry: Okay, great. And the final question, when we think about the pipeline, can you talk about, maybe any catalysts or events we should be looking at over the next 12 months? Obviously, the key products being the thalidomide and the cocaine topical filing or maybe even the Zomig nasal spray, P IV. Just, I guess, what I'm really wondering is what should we be focusing on in your pipeline over the next 6 to 12 months?
Arthur P. Bedrosian: Well, I'm always one who doesn't want to predict FDA approvals, but I will bring you up to speed. With regards to thalidomide, they've already done a preapproval inspection at the contract research lab. They did the bio-equivalency testing. They've also recently gone to the firm that will do the packaging for us because this product is sold in a blister pack. So we do notice the application being viewed rather seriously at the agency. So there's a good likelihood that product might be approved. My predictions are never good, so I don't want to predict, but that's one I would certainly think will be useful for next year. But more importantly is the arrangement we have with the Chinese company, the OTC group that we announced and near Sunshine Lake division here in the U.S. They've also had preapproval inspection on one of their key items -- actually, 2 products that they expect to get approved shortly. So we might get the benefit from that alliance. Remember, we have the exclusive distribution rights for all their filings. And we learned when I recently made the trip to China, that they have about 15 ANDAs at the agency, some dating back to 2010. So the approval process will start to come through, and we may be the beneficiaries of their application pipeline as well. These are products we've never put into our guidance or anything else, but now that they've communicated that they did receive a preapproval inspection themselves, we are expecting to launch some of their products this year as well. Again, these are not in the guidance, though, because until something's approved, we generally don't put it in the guidance.
Operator: And our next question comes from Rohit Vanjani from Oppenheimer.
Rohit Vanjani: Did I hear that right on cardiovascular, was it $8.5 million versus last quarter of $18.33 million? And if that's right, can you maybe speak to the dynamics of the market? Is that decrease strictly a function of new competitors? Because the script data maybe doesn't indicate that. I don't know if there's a lag on the script, so.
Martin P. Galvan: The third quarter was $8.5 million. The -- I'm sorry, you're asking about cardiovascular?
Arthur P. Bedrosian: He is asking cardiovascular.
Martin P. Galvan: Cardiovascular went down from $21 million last year's third quarter.
Rohit Vanjani: I meant, quarter-over-quarter, it seemed down significantly. Is that strictly a function of new competitors? Because it doesn't really seem to be showing up in the script data that it's down that much.
Martin P. Galvan: Well, this change would be -- I mean, this is Digoxin. And last year, 12 months ago, we had our peak in the winter time, that was last year [ph].
Arthur P. Bedrosian: [indiscernible] market share.
Martin P. Galvan: And we peaked out right then and there. That's was [indiscernible]
Rohit Vanjani: So I'm just speaking to the quarter-over-quarter change, Marty. I mean, even ....
Martin P. Galvan: Sequentially, sorry. Okay. I think, year-over-year. Okay. Well, that still is pretty much Digoxin.
Arthur P. Bedrosian: So what was it in the second quarter, Marty?
Martin P. Galvan: Second quarter was $16.7 million.
Arthur P. Bedrosian: And now it's $8.5 million.
Martin P. Galvan: And now it's -- if I talk about just Digoxin, it's $7 million in the third quarter. So the drop is what we were expecting. We had projections -- it was a little bit lower in the quarter than we were expecting. We were expecting $8 million in each of the third and fourth quarters. So we came in at $7 million, slightly lower than we were expecting, but this [indiscernible] is consistent with what we've been saying.
Rohit Vanjani: So you're saying it's just -- it's strictly a function of a new competitor and that's what's driving this?
Arthur P. Bedrosian: Yes. So competitors...
Martin P. Galvan: Yes. Competitors and I think you're referring to the script data. But as we've said, there's always a lag with that information.
Rohit Vanjani: Sure.
Arthur P. Bedrosian: And it doesn't capture the whole market that we sell Digoxin into. So we might see the decline in some markets that are not captured in that data. But it's in line with our guidance and what we expected for the year. So we predicted accurately and it's unfortunate that we have the extra competition. But that's the business we're in.
Rohit Vanjani: And then the same thing with the thyroid, I mean, I thought you had picked up some business, maybe it was a one-time deal in the last quarter. Did you lose that business or was there some ad hoc business, or was there volume changes there?
Arthur P. Bedrosian: No. The customer picked up some additional -- they made a small acquisition, so they picked up some additional customers. And then, they just placed additional orders in anticipation of what that new customer base might use. So it was just a blip, let's say, for that quarter, but we haven't lost anything now that the business is back to normal. Let's say, the quarterly numbers, the market, the trend in the script data was all the same. We haven't lost any market share at all.
Rohit Vanjani: Okay. So this is kind of a good run rate number?
Arthur P. Bedrosian: Yes.
Rohit Vanjani: And then, for the guidance for the separate products where you gave, I think the $155 million, $60 million, and $50 million for Levo, Ursodiol and Digoxin, do you still -- are you still good with those numbers?
Martin P. Galvan: Yes, Rohit, let me go back to the thyroid piece, though, because -- so thyroid, we were projecting for the third and fourth quarters -- we were projecting about $38 million in each quarter. So at $36 million or so, it came in $36.5 million, it came in a bit lower than we were expecting. And our own thinking, we've actually rolled that so-called decrease, let's say, against our expectations, we've rolled that into the fourth quarter. So half year on half year, sequentially, we're just where we expected to be. We thought there were some timing differences in the third quarter. And like I said, we've rolled that into our fourth quarter. So we're still at about that $155 million, is what you're asking. We're still at about that same number on a full year basis as we were projecting 3 months ago.
Rohit Vanjani: Okay. And the $60 million and $50 million for Urso and Digoxin still good?
Martin P. Galvan: Yes. On Digoxin, that's still good at $50 million. And or Ursodiol, because we have such a strong quarter, we rolled that into our full year outlook. We have not increased the fourth quarter. We were at $60 million previously. Now we've taken that full year outlook up to $65 million. But again, consistent with my comments earlier on this call, our fourth quarter, if you look sequentially, third quarter going into the fourth, it drops down. Fourth quarter, again, being similar to our second quarter because we're not expecting a repeat of the incremental business. We're not expecting a repeat of what we saw in the third quarter.
Rohit Vanjani: Okay. And then, in the other category, I think that was up quarter-over-quarter, something like $4 million. What was the strength there?
Martin P. Galvan: The strength there in the fourth quarter, are you saying, I'm sorry?
Rohit Vanjani: In this quarter, it was $11.4 million, in last quarter, I think, it was something like $7.9 million. I'm just wondering what the quarter-over-quarter strength was in there?
Arthur P. Bedrosian: Wasn't that one of the butalbitals?
Martin P. Galvan: There was -- well, actually, it was ...
Rohit Vanjani: Baclofen, maybe?
Martin P. Galvan: Yes, it was baclofen. Yes.
Rohit Vanjani: And then the last one for me, I just wanted to confirm that C-Topical, that won't impact the fiscal fourth quarter. That was just a $2.4 million impact for this quarter and it should be rightsized going forward?
Martin P. Galvan: Yes. I mean, the fourth quarter, we have the fourth quarter. I mean, we -- do the math, you'll see it's about $7.5 million in the fourth quarter, which is about run rate. As you know, C-Topical, the particular product has fluctuations in the quarters. It can swing a bit, but right now, we're projecting $7.4 million in the fourth quarter.
Operator: And your next question comes from Elliot Wilbur [ph] from Raymond James.
Unknown Analyst: First question for Arthur around some of your earlier commentary on the M&A front. Arthur, you continue to talk about international opportunities, and I'm just wondering if you are leaning that direction or maybe just seeing more idea flow coming internationally and you just think that there's better relative valuations there or it's really just more a reflection of your desire to diversify revenue stream, and potentially look for tax arbitrage opportunities? And then, I wanted to ask a follow-up question of Marty as well and going back to some of the earlier questions around the sequential increase in SG&A. And obviously, expecting around a $5 million uptick in the fourth quarter. And we certainly know that lawyers and bankers can be quite expensive.
Arthur P. Bedrosian: You can say that again.
Unknown Analyst: But even -- Well, they don't offer the value that research guys do, but I'm not [indiscernible].
Arthur P. Bedrosian: You're right. You're right, Elliot [ph].
Martin P. Galvan: Hear, hear.
Unknown Analyst: [indiscernible] But even if you think about a $500 million M&A transaction with a 1% fee, we're talking about $5 million, I mean, it seems like a lot of money to be spending in one particular period on activities, that I would've thought, kind of, have been going on for some period of time. So I'm sort of -- Marty, if you wouldn't mind, maybe just elaborate on that little bit more.
Arthur P. Bedrosian: Sure. I don't want to get everybody's hopes up because my colleague, Marty, had told me, because he has come from that background, but you could look at 50 deals and do one of them. So clearly, you might say that's exactly the experience we're faced with. But a lot of the time was spent early on for an overseas opportunity. And let's just say, even though we didn't close on that as expected, that discussion is ongoing, and some discussions will lead to some product reliances and it possibly might lead to a merger and acquisition of them as well. So that discussion and that effort has not been wasted. And of course, when you're dealing overseas, there's a lot more involved than the typical transactions done here in the U.S. While we were doing that one, we were talking about doing that tuck-in, that small domestic company. That's gone through its due-diligence stages. So we also have been tied up with that one. And we looked at another opportunity that we've talked to you -- to the public about. We didn't specify them. So I would say that we've looked at between 2 to 4 transactions, some heavily involved with due diligence and some just initial contacts and discussions. So yes, some of the money was spent and no fees were paid per se to any bankers, but there's a considerable amount of fees that are paid to our consultants that help us do the due diligence. Remember, we're not experienced in M&A, so it's not something we could turn to our staff for. And my staff has really stepped up to the plate, and I would now say are quite capable of doing an M&A deal. But we're still leading and leaning towards outside consultants, which I have to admit, they are just as expensive as those bankers. I'm sorry, your first part of your question was, are we looking overseas? No, we really were not looking overseas for an acquisition. We certainly were looking overseas to do an inversion. And we continue to have confidence that we might be able to find an opportunity there. So we're not giving up on that. Again, as Marty will call it a plain vanilla inversion is the type we are looking at, which is not precluded by any of the activity in Washington back in the fall. So yes, we're looking at inversion. As far as globalizing internationally, no, that was not the emphasis of our company. It really was domestic. But you know sometimes you find opportunities that you didn't look for, that are brought to you by a banker, and they are a perfect fit. So I would say that the time we spent there may not turn out to be wasted. That maybe actually a closing transaction occurring there 6 months hence. But the relationship and the effort probably will turn into at least 2 alliances of some kind on a product basis. And then, whether it leads to M&A, we'll see. That cover all of your questions, Elliot?
Operator: We have no further questions. I'll now turn the call back to the speakers for final comments.
Arthur P. Bedrosian: All right, well, on the note that we lost Elliot Wilbur, you know how to reach us. So we'll be more than happy to continue our discussions. We seem to have lost your connection. So I thank, everybody, for joining us today. We're always available to entertain the questions and look forward to reporting on our continued progress on our next call. Thank you very much, everyone.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating, and you may now disconnect.